Operator: Hello, and welcome to the ICE First Quarter 2023 Earnings Conference Call and Webcast. My name is Laura and I'll be coordinating the call today. [Operator Instructions] I will now hand over to your host, Katia Gonzalez, Manager of Investor Relations. Please go ahead.
Katia Gonzalez: Good morning. ICE's first quarter 2023 earnings release and presentation can be found in the Investors section of the ice.com. These items will be archived and our call will be available for replay. Today's call may contain forward-looking statements. These statements which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions and uncertainties. For a description of the risks that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2023 Form 10-Q, and other filings with the SEC. In addition, as we announced last year, ICE has agreed to acquire Black Knight. The transaction is still pending customary regulatory approval and we expect to close in the second half of this year. In connection with the proposed transaction, ICE has filed with the SEC a registration statement on Form S-4 to register the shares of ICE common stock to be issued in connection with the transaction. The registration statement includes a proxy statement of Black Knight that also constitutes a prospectus of ICE. Please see the Form S-4 filing for additional information regarding the transaction. In our earnings supplement, we refer to certain non-GAAP measures. We believe our non-GAAP measures are more reflective of our cash operations and core business performance. You'll find a reconciliation to the equivalent GAAP terms in the earnings materials. When used on this call, net revenue refers to revenue net of transaction-based expenses and adjusted earnings refers to adjusted diluted earnings per share. Throughout this presentation, unless otherwise indicated, references to revenue growth are on a constant currency basis. Please see the explanatory notes on the second page of our earnings supplement for additional details regarding the definition of certain items. While Lynn is not able to join today’s call, as she is participating in our large IPO being conducted at the NYSE, with us on the call today are Jeff Sprecher, Chair and CEO; Warren Gardiner, Chief Financial Officer and Ben Jackson, President.  I'll now turn the call over to Warren.
Warren Gardiner: Thanks, Katya. Good morning, everyone. And thank you for joining us today.  I'll begin on Slide 4 with some of the key highlights from our first quarter results. Adjusted earnings per share $1.41 was driven by net revenues of $1.9 billion, including record exchange revenues and record fixed income and data service revenues, which increased 12% year-over-year.  First quarter adjusted operating expenses totaled $740 million, $5 million below the low end of our guidance range, driven by timing of professional services fees and technology spend. This strong performance helped to drive an adjusted operating margin of 51% and record adjusted operating income of $1.2 billion.  Looking to the second quarter, we expect adjusted operating expenses to be in the range of $763 million to $773 million with a sequential increase driven by the full quarter impact of 2023 merit increases, as well as strategic investments in technology and growth initiatives across our business.  Now let’s move to Slide 5, where I’ll provide an overview of the performance of our Exchange segment. First quarter net revenues totaled a record $1.1 billion. Transaction revenues was $739 million were driven in part by 15% growth in agricultural commodities, and a 16% increase in our global natural gas business.  Importantly, open interest trends remains strong across Futures and Options as of the end of April, including 6% growth in global energy, and 17% growth and Ag. It's worth noting that on May 1, we implemented select price increases within our energy business capturing a portion of the substantial value we have brought to the asset class over the last decade through both continuous product innovation and technology enhancements.  Depending on the mix of volumes, we would expect the benefits of our energy RPC, beginning with the second quarter. Recurring revenues, which include our Exchange Data Services and our NYSE Listings business increased by 5% year-over-year including 8% growth in Exchange Data Services, which was in part driven by double-digit growth and a number of customers consuming or Global Energy and Environmental Data.  This was partially offset by slower growth in our Listings business, where industry-wide capital markets activity continued to be relatively muted. It's worth noting that despite the current environment, the IPO backlog continues to grow and another eight companies elected to transfer the NYSE through April closing on a record year for transfers in 2022.  Turning now to Slide 6, I'll discuss our fixed income and Data Services segment. First quarter revenues totaled a record $563 million, up 12% versus a year ago. Transaction revenues increased by 54% including a 106% growth in ICE bonds and 42% percent growth our CDS Clearing system.  Similar to last quarter, this strong growth was driven by market volatility, higher interest rates and our continued efforts to build institutional connectivity to our bond platform. Excluding the impacts of the Euronext migration, recurring revenues grew by 4% driven by additional capacity on the ICE Global Network, as well as strong growth across our Analytics and Desktop offerings with strong demand from energy and environmental-focused customers.  This performance is a key driver of our other Data and Network Services business, which increased by 8% in the first quarter and 10% excluding the impact of Euronext. Similar to last quarter, we experienced an extended sales cycle within our End of Day Pricing business, as well as pressure in asset-based revenues and our Index business, which declined year-over-year as investors shifted out of higher fee risk assets in 2022 such as equities, and corporate bonds and into munis and Tributary ETFs.  Let's go to Slide 7 where I’ll discuss our Mortgage Technology segment. First quarter Mortgage Technology revenues totaled $236 million. Recurring revenues, which accounted for nearly 70% of segment revenues totaled $165 million and grew 6% year-over-year. These strong recurring revenues continued to help drive outperformance versus an industry that experienced a nearly 60% percent decline in origination volumes. While nearly two-thirds of our Encompass customers that came up for renewal during the quarter did so at higher minimum helping to drive year-over-year and sequential growth in recurring revenues, it was somewhat offset by increased pressure from customers electing to renew at lower levels.  Importantly, the vast majority of these customers remain on the Encompass and ICE Mortgage Technology platform. While we expect to continue to have outperform the industry, if current cyclical conditions persists we would expect recurring revenues to be towards the lower end of our mid-to-high-single-digit guidance range for the year.  These same cyclical conditions and cost pressures are also increasingly attracting customers that have not traditionally been on the Encompass platform. This is best evidence by our first signing of a top five global banks during the quarter electing to replace their legacy in-house loan origination technology. While not expected to impact 2023, recurring revenues this helped to drive the best quarter for new sales of Encompass in the product’s history and is a clear testament to the increasing need for workflow efficiencies and another example of the synergy opportunities that exists for ICE across the mortgage industry.  In summary, we delivered another quarter of revenue, operating income, and free cash flow growth. We continue to make strategic investments across our business, and future profitable growth opportunities and we are well positioned to meet the evolving needs of our customers, and create value for our shareholders. I'll be happy to take questions during Q&A, but for I’ll now hand it over to Ben. 
Benjamin Jackson: Thank you Warren, and thank you all for joining us this morning. Please turn to Slide 8. Amidst a very Dynamic macro environment, including a shock to the banking sector, our customers continue to rely on our leading technology, mission-critical data and transparent and accessible markets to navigate these uncertain conditions.  This contributed to our all-time highest single volume day of 14.5 million contracts across our markets on March 13. Along with this, we also achieved record options volumes across our commodities in the quarter, up 21% year-over-year. As seen historically, options contracts are an efficient and valuable tool in highly uncertain market conditions.  In our interest rate markets, Central Bank activity, and banking concerns led to increased hedging activity, driving 18% percent volume growth in the first quarter. This growth was underpinned by a 25% volume increase in our Euribor contracts including record Futures volumes. We also had record volumes in our SONIA contract, up 12% year-over-year.  This strong performance is a testament to the strength of our multi-currency multi-benchmark offering across interest rates. Across our Global Energy markets, how energy is produced and consumed has evolved rapidly. Importantly, we have continuously invested alongside this evolution building a global platform that today is one of the most diverse and liquid energy marketplaces in the world.  This platform has established benchmarks in emerging markets across every source of energy. And with record energy options in the first quarter, up 21%, year-over-year and energy open interest up 6% through the end of April, we are pleased that our customers continue to turn to our deep liquid market to manage their risk.  In our oil markets, we've invested in building a global platform that positions us well to provide the critical price transparency, across the energy spectrum that will enable participants to navigate the clean energy transition. Today, the resilience and liquidity of ICE’s Brent benchmark has surpassed other oil benchmarks in both volume and open interest and at the same time, reached an all-time high in Options market share.  This demonstrates that the market depends on the Brent benchmark’s ability to reflect global fundamentals. Importantly, Brent stands as the cornerstone of a franchise spanning key price benchmarks across Gasoil, WTI, Platts Dubai, and more recently Murban.  Together, these benchmarks form the foundation of a cohesive web of more than 700 related oil products such as vocational, product, and refining spreads. In the last few years, we've also invested in biofuels and renewable oil products, such as RINs, RVOs, biofuels, and low carbon fuel standard products and while small today, we see positive signs that these will become meaningful contributors in the future.  Importantly, driven by the breadth of our commercial customer base we have become the natural home for liquidity in these products with open interest in our oil complex of 5% year-over-year through the end of April.  In our natural gas markets, we've adopted a similar playbook, building a global platform that spans benchmarks across North America, Europe and Asia, a thoughtful approach that positions us well to benefit from both the near-term volatility and the long-term secular growth trends occurring across these markets. This has also helped us drive a 10% increase in global gas volumes in the first quarter.  This includes a 14% growth in our North American Gas business, which not only benefited from continued commercial engagement in our Henry Hub contract, but also our North American bases markets.  In our environmental markets, we’ve recognized the importance of carbon price transparency over 10 years ago, acquiring the Climate Exchange 2010. As we look out over the longer-term, corporates and market participants remain committed to Environmental Policy to reduce carbon emissions as illustrated by a record number of market participants in the quarter, up 7% year-over-year.  In summary, as the clean energy transition continues to introduce new complexities, uncertainties, and volatilities to energy markets, our global environmental markets, alongside our global oil, gas, and power markets provide the critical price transparency that will enable participants to navigate this evolution. Moving to our Fixed Income and Data Services business, our comprehensive platform continued to generate compounding revenue growth and delivered another quarter of record revenues up 12% year-over-year. This strong growth was underpinned by both recurring and transaction revenues, a testament to the strategic diversification of our business model and our ability to deliver growth through an array of macroeconomic environments.  Rising market uncertainty and interest rates, as well, as continued efforts to build institutional connectivity to our bonds platforms provided significant tailwinds for ICE bonds, which was up over 100% year-over-year. We're also beginning to see return on the investments we've made in both enhanced content and functionality across our other Data, and Network Services business.  This part of our business increased 8% in the first quarter, driven by demand for additional capacity on the ICE Global Network, our private cloud, as well as strong growth across our analytics and desktop offerings. As we move forward, there is a significant opportunity to continue to expand and evolve the products and services within our Fixed Income and Data Services business.  From the digitization of fixed income workflow to the innovations we bring to connectivity and market data, ICE is well positioned for long-term success and growth.  Turning now to our Mortgage business, in the first quarter, we once again outperformed the broader industry, driven by strong recurring revenues of 6% year-over-year. This continued outperformance is a result of executing against our strategy of leveraging our technology and data expertise to accelerate the analog to digital conversion happening in the industry.  Part of that strategy is intentionally shifting more business to recurring revenue, particularly within our Origination Technology and Data and Analytics business. While still in the early days of this transition, we continue to see strong clients adoption.  Importantly, as customers increasingly seek efficiencies across a very manual process, our leading Origination Technology known as Encompass provides valuable digital solutions that can reduce both the time and cost required to originate a loan.  We are pleased to see the value of our offering continues to resonate with lenders and this is highlighted by the fact that we had record new sales in our Encompass offering in the first quarter, and the sales success included for the first time a Top 5, global bank electing to replace their legacy in-house loan origination technology for their retail business.  This is a testament to the trust and strong relationships ICE has established with our customers since our founding. Additionally, the recent exit of a largest correspondent lender in the country that was not on Encompass, presents opportunities for lenders that are on Encompass. This focus on automation and efficiencies also contributed to a 10% growth in our Data and Analytics business.  Through our AIQ offering, customers can leverage our analytics such as our credit and income analyzers, as well as leverage or automated document recognition and data extraction technology to reduce the manual stare and compare work that exists across the mortgage workflow today. This automation could save lenders thousands of dollars per loan by reducing manufacturing time and complexity.  The continued growth in our recurring revenues is a testament to the demand we're seeing for these digital solutions. As these new customers come on to our network, we benefit from new subscription revenues and have the opportunity to expand the customer relationship over time as they adopt additional solutions. Just as we've seen in our other markets, this flywheel effect is what we believe will drive compounding growth in our recurring revenues and gives us confidence that we can grow a business that today is only a fraction of the $10 billion addressable market that is in the early days of an analog to digital conversion.  With that, I'll now turn the call over to Jeff. 
Jeff Sprecher : Thank you, Ben. And good morning, everyone. Thank you for joining us. Please turn to Slide 9. I'll begin by touching on our pending acquisition of Black Knight. Since the initial announcement in May of 2022, ICE has remained unwavering in its belief and commitment to the combination of our companies.  In March, we announced revised terms of our merger agreement to acquire Black Knight at $75 per share or a market value of $11.7 billion from our previous terms of $85 per share. Black Knight’s shareholders approved this revised deal last week.  In addition, and although ICE strongly believes that acquiring Black Knight is entirely pro-competitive. We also announced an agreement to sell Black Knight’s Empower loan origination system, plus certain related businesses to Constellation Software Inc. We did this in order to remove a perceived horizontal competition concern.  The divestiture transaction is subject to the closing of ICE’s acquisition of Black Knight and other customary closing conditions. ICE and Black Knight intend to defend the pro-consumer merits of our revised merger in Federal District Court. A scheduling hearing is scheduled to take place on May 12th to establish the timetable for this process, after which time we'll have a better ability to discuss the calendar for deal completion.  We're unable to answer any questions on this call relating to our transaction with Black Knight. We remain fully confident in our position and we look forward to presenting it in court. Importantly, we're very excited about the value and the efficiencies that the combined entities will bring to the end-consumer, as well as other stakeholders across the mortgage ecosystem.  Shifting to our strong results, the first quarter was highlighted by record adjusted operating results that include continued compounding recurring revenue growth across all three business segments, along with record revenues and our Exchanged and Fixed Income and Data Services businesses.  Remarkably, we did this against last year's exceptional first quarter with its unprecedented volatility driven largely by the onset of conflict in the Ukraine. These strong first quarter results are a testament to the value of our data and technology and the strength of our strategic business model. Over the past 20 years, ICE has continually evolved to meet the needs of our customers, resulting in value for our stockholders. Our evolution has been intentional, diversifying across asset classes and geographies and increasing our mix of recurring revenues.  The compounding growth of our subscription-based services combined with our diverse transaction- based businesses means that our growth is not tied to one economic cycle to one geography or to one asset class. This provides upside exposure while hedging our downside risk.  Looking to the balance of the year and beyond, we’re excited about the many growth opportunities that are in front of us and we remain focused on delivering innovative solutions for our customers, while driving compounding growth for our stockholders.  Before I end my prepared remarks, I'd like to say thank you to our customers for their continued business and for their trust. And I'd like to say thank you to my colleagues at ICE for their contributions to another good quarter.  And with that, I'll turn the call now, back to our moderator Laura and will conduct a question-and-answer session until 9:30 Eastern Time. 
Operator: [Operator Instructions]  Our first question comes from Rich Repetto from Piper Sandler. Rich, please go ahead. 
Richard Repetto: Yeah, good morning, Jeff and Ben and Warren. Congrats on the second best revenue quarter and EPS quarter in the company's history. So, I'd like to go back to the origin, being energy and I know Ben, you spent a lot of time on it. But still the quarter-over-quarter, or at least excuse me - the comparisons compared to the second quarter of last year improved dramatically for you, they are down 20% last second quarter versus the first quarter.  So, I guess, the question is, then and you just put in a price increase is what could derail the strong - looking more out at the just energy market overall we know what you're doing with Options in the open interest, but what's the outlook for volumes and what could derail this positive setup you got to deliver for the remainder of the year here, but it looks like a positive set up?
Benjamin Jackson : Thanks, Rich, and hey, this is this Ben. Thanks for the good questions and the commentary there. The - simply said, the setup couldn't be better for the balance of this year. When we look at the health of our overall markets, I mean we've as you alluded to in your comments, we’ve built this business with a long lens and if you towards what customers risk management needs are across the entire energy spectrum including helping to help our clients navigate to a cleaner energy world and through our environmental markets that we've invested heavily in.  And the setup just couldn't be better. If you look at right now, we're at or near an average daily volume market share high against any of our peers in crude and in oil or at or near open interest, market share highs in North American gas and global gas.  We’re at or near revenue share highs in energy. We had record energy options volume in Q1 posted an all-time high for Brent versus WTI Options share versus our peers. We had record active market participation in our environmental markets and our TTF gas, as well as, we're at or near record to data subscribers in several markets.  And this positioning also is underpinning our ability as Warren said in his prepared remarks around the growth in our desktops business in Energy and Environmentals, we have this flywheel effect, but we're also seeing some nice growth in our Fixed Income and Data Services business in this area. So, why are we seeing all this?  Last year, you had the war in Ukraine. This unfortunate war that created all these supply shocks across European energy markets create a very difficult trading environment. We continued to look at the health of the market by active market participation and market data subscribers and we didn't see that shrink. In fact, we saw it grow.  And look at where we are today with US for example, US oil, and LNG backfilling a lot of the supplies that have been cut off from Russia. We are starting to see the market normalize. And that has driven since the end of the year. TTFs open interest growth of 40%, since year-end. Gas oils come roaring back. Now that it's clear that Russian oil is not going to be in gas oil deliveries as of the beginning of this year.  That's up over 30% since year-end. Energy options are up close to 20%. Our Brent benchmarks are doing very well, up 18% since the end of this year. And now you have WTI Midland-grade oil coming into Brent this summer, mostly priced by our Midland WTI American Gulf Coast contracts. We’re well, positioned there.  And then the other market that we saw that had some headwinds last year was our EUA markets or European Union Allowance markets, because there were so much time attention and capital being put towards energy. We saw that come back strong with average daily volume up 18%, Q1 versus Q4. And there's long-term secular growth drivers for that EUA business where there's roughly 4 Gigatons of carbon emissions that are emitted in Europe.  Today, about one-and-a-half Gigatons of those carbon emissions are priced by compliance markets based on policies that are in place. In over the next few years, as a new program, called Fit for 55 comes into place, another one and a half Gigatons will be priced as roads, buildings and maritime sectors of the economies start to get pulled into this, which is all a long-term secular growth driver for that.  So we feel very, very well set up for the balance of the year and beyond, 
Richard Repetto: Okay, thank you very much, Ben and team. 
Operator: Thank you. Our next question comes from Kyle Voigt with KBW. Kyle, please go ahead. 
Kyle Voigt: Hi, good morning. You noted the top five global bank win replaced their in-house solutions with Encompass. I guess, is there any way to frame the revenue upside or the potential revenue upside from that contract? And then in terms of, kind of Tier one size banks, do you think getting this signing could kind of open the door to other opportunities of this size? And if you come out on the pipeline from kind of that that client segment of the larger banks? Thank you. 
Benjamin Jackson: Thanks Kyle. This is Ben. So if you remember last quarter, I had highlighted that the fourth quarter of ‘22 was the strongest sales in terms of new sales to new Encompass customers of all of 2022. And then we followed it up with Q1 of this year, being the strongest new sales in Encompass to new customers of all time. So we feel great about really the hypothesis that we had when we, few years ago, bought the Ellie Mae business, that you had a lot of banks that had aging in-house infrastructure that they were trying to support.  And we felt that that replacement cycle was going to be coming up as that's the main competitor that we have in the Encompass marketplaces is in-house legacy infrastructure. And as we've seen that funnel develop, I alluded to it on the first - on our last call that we saw a strong funnel of these types of banks that we’re talking to and engage with and talking about the benefits that Encompass can provide them, anyway and lo and behold we brought on board one of the biggest global banks onto the platform here in the first quarter.  So, we - these customers, I need to point out are large. They are complex businesses. It's going to take time to implement them. So, in terms of timing and when we will see revenue contribution, it's more likely going to start to come in, in 2024. But, again, we believe that based on the hypothesis that we had clients are going to be replacing this in-house infrastructure, as well as the relationships that ICE has established, the long-term relationships that we've established since our founding, being a trusted technology and infrastructure provider for financial institutions like this, and we’re very well positioned to win this business as other banks look and making the same decisions. 
Kyle Voigt: Thanks Ben. 
Operator: Thank you. Our next question comes from Alex Kramm from UBS. Alex, please go ahead. 
Alex Kramm : Yeah, hey guys. Good morning. Just going back to energy for a second and being more specific here. You mentioned the pricing increase, maybe I've missed it. Obviously, we can look at your disclosures in terms of the fee schedule. But there's a lot of mix here. So, maybe on a like-for-like basis, maybe look at 1Q volume mix, like how much would the pricing changes actually impact RPC or revenue? 
Warren Gardiner: Hey Alex. It’s Warren. So, good question. So, I'd expect a few pennies of impact all of equal. What we did there was we touched a handful of products within energy. And so, when I say, a few pennies I am talking about the Energy RPC overall of course. And so we touched a handful of contracts within the broader energy complex.  We have - this is something we haven't done in some cases, decades it's into in other cases ever. As you know, our philosophy is really to take the approach of where we created value for our customers and then over time go capture some of that value. And so, we felt like this was a good opportunity given the backdrop to do that in some of these contracts. And that’s what you're seeing there.  And so, hey look, what we've done that in the past, we're always looking to do that and we'll continue to look for those opportunities not only within Futures, but really across the business and taking that that same philosophy as we go forward here, so. So, hopefully that's helpful in terms of thinking about the impacts. 
Alex Kramm : You can't put it in percentage terms, can you? Or could you? 
Warren Gardiner: Well, I would just say, look, the energy RPC was at $1.60 in the quarter I would say a few pennies on top of that, that should help you in terms of thinking about the impact. 
Alex Kramm : I was looking for exact math, but good enough. Thank you. Thank you. 
Operator: Thank you. Our next question comes from Dan Fannon from Jefferies. Dan, please go ahead. 
Daniel Fannon : Thanks. Good morning. So, I guess, another question for you, Warren. You talked about strategic investments and that's part of the pickup sequentially. And I was hoping you could just frame where those investments are going in this year, kind of projects and/or products. And then, if the environment isn't as constructive as we think about the back half of the year, is there some flex to maybe remove or reduce spend across the expense base? 
Warren Gardiner : Yes, that’s good question. So, in terms of some of the investments we’re making, we're making those across technology. We're also making some select hires in certain areas, particularly areas within some of our data products, new data sets, ESG indices. We’re expanding some of the opportunities we have within the connectivity business.  So it's fairly broad based in terms of those Investments we’re making. And that's all part of the plan, if you will, or the budget when we enter the year. As we talked a little bit, or I talked a little bit earlier about in my prepared remarks about how so we did have some expenses pushed into the second quarter. So we're, as I'm noting now, we're going to continue to make those investments and we're on plan to do that.  Look, over time, of course, and the goal every year is to grow both in the near and the long-term. And to do that, we've got to make investments in the business, particularly, if we're going to grow into the future, and that's what we're going to, and what we're doing here. And that's what you should expect us to continue to do. And that's frankly, that's the benefit of that we have with the diversified model.  We had not only across asset classes but also the mix of subscription it tends to be a little more resilient. And then and then as well as on the diversified transaction front. So, that's what we'll do and I think look, as we're thinking about how things trend through the balance of the year, look, we're a company that's run pretty efficiently. We had operating margins of 61% in the quarter.  That's been a philosophy that we've had to operate that way and look to run the business efficiently, both in good times and bad times or tough times. And so, I don't think you should expect us to really be changing how are we thinking about that. And so we're going to make those investments. And to the extent we need it to pull back, we will think about that.  But I think it would have to be more of a structural change in the in some of the asset classes that we’re in and then anything is difficult, because again we want to drive long-term growth. And there's no reason for us sitting here today that to do that, because we're not seeing that at the moment. 
Daniel Fannon : Okay. Thank you. 
Operator: Thank you. Our next question comes from Andrew Bond from Rosenblatt Securities. Andrew, please go ahead. 
Andrew Bond: Hey, good morning. Just wanted to ask this is there any change to your thoughts in ICE’s strategy into digital assets base in the recent months? Are there attritional changes to come more active and given the impact of the current banking crisis in other countries, where ICE already has worked with regulators stepping up their efforts to really become crypto hub for the US bills are also behind. And additionally, do you think US Government and regulators are making a mistake by not being more proactive in providing thoughtful regulatory clarity in place? Thanks. 
Jeff Sprecher : This is Jeff. So, we sort of have our point in two places with respect to digital assets. First of all, we created Back and then spun it out as its own public company. And while I can't speak for Back management, the philosophy that we put into the company at the time of the spin was to be highly regulated.  In other words, to get 50 state money transmitter licenses and set up a custodial banking practice under the New York Banking Regulations. And so, from the onset, I would say, we had the philosophy that anything we did around digital assets should be, should comport to existing regulation. The - we own and operate the world's largest exchange, The New York Stock Exchange, 350 billion transactions a day.  And we have the infrastructure to list digital assets. It is different than a lot of the entrepreneurs in the digital space in that a requirement of the US Securities Exchange is that its members have to be licensed broker/dealers. So there is no such thing as NYSE Direct. It's not that we couldn't build NYSE Direct. It's not that we don't have relationships with end-users.  But the law says that that end-users need to come through broker/dealers who provide KYC and AML oversight to the market. And so, so far that model hasn't been one that the market has been interested in. But our ability to list a digital asset is actually quite easy. It's obviously a token and registering on a public blockchain is actually relatively simple given the complexity of the infrastructure that we're used to operate in.  So, we'll see how this unfolds. It does appear that the SEC and other regulators would prefer to use that traditional infrastructure for tokens in the United States and a lot of their compliance activities seem to be focused on moving the existing market towards our model and the historical model. And to the extent that there's an appetite for us it would be easy for us to list digital assets. And we obviously have the domain knowledge here having built back on how to operate in a public blockchain environment. 
Andrew Bond: Okay. Thanks. 
Operator: Thank you. Our next question comes from Michael Cyprys from Morgan Stanley. Michael, please go ahead. 
Michael Cyprys : Great. Thank you. Good morning. So, just a question on mortgage. I was hoping you could talk a little bit about where you guys are along the journey of digitizing the mortgage process from e-Closings to e-Notes. It seems, you have a lot of capabilities already in place. Maybe it's just about driving engagement from here. So, if you could talk about what's left? What are some of the hurdles that you're facing? What are some of the steps that you're taking to overcome those hurdles and to accelerate the push the digitize the marketplace? Thank you. 
Benjamin Jackson: Thanks Michael. It's Ben. The short answer to the question is, we have done a really good job of integrating the businesses that we've acquired over the last few years from MERS to the Simplifile business to then the Ellie Mae business really bringing together from the start of the origination process all the way through to the electronic closing of the loan.  We have integrated those into a cohesive platform for our clients. And it's you alluded to, we've stood up an electronic closing room for our clients to digitize the close. We have e-Notes now as part of the Encompass document set native into our loan origination system. So we're really set up well to be able to cross-sell the solution set into all of our clients.  That's the thing I think most important for people to really when they're thinking about the mortgage headwinds, and the current conditions in the marketplace is and I think Warren mentioned this in his comments in his prepared remarks that we're not losing clients. And of the 6,000 lenders that are out there we're providing some services to just about every one of them.  3,000 of those lenders are on our Encompass platform. So we're very, very well positioned to now cross-sell these solutions to our clients. So, right now, what we've been what we've been really focused on and that we've completed that that integration is executing on the sales success that we've had. We've talked about the strong funnel that we've had and bringing new clients into the Encompass ecosystem.  I think the other thing to point out as you see, some of the some of the noise in our results is for people to fully appreciate that when we have renewals that are coming through our process, just like we did last quarter, more than 60% of the clients that renewed at higher subscription fees then where they, where they started at the beginning of that quarter.  What we're trading off for that is a per-close loan fee. We're lowering that to some degree, which is transaction revenue. So, of the clients that did not renew at higher subscription and perhaps went down in subscription, there the trade-off is consistently that we're raising the per-close loan fee on those clients, which means that as the market rebounds and returns, we have an opportunity to participate in the upside there.  So it's important that people see that one, we're not losing customers. Two, we are very well positioned to cross-sell the entire digital solution suite that you alluded to in the way that you asked the question. And we're set up very well with that balance between transaction and subscription revenue where if clients are in tough times and they need to reduce their subscriptions, we can participate in the upside in transaction revenue. 
Jeff Sprecher: I’d also – this is Jeff. I’d also tell you that, one of the things we're seeing is much like it came out of the dotcom boom, where, there were thousands of tech companies and that then really reduced down to a core group of companies that emerged as the largest companies in the United States today. And the reason is similar to the environment were in today, is that in tougher periods like we're in right now, with mortgage, within a higher interest rate environment, clients are more apt to talk to us and listen to our pitch about changing their behavior that they're looking for cost efficiencies.  A couple of years ago, when the market was at its peak in terms of transaction volume and everybody's busy in making money, it's actually hard in an environment to convince people to change their behavior. But our team has been really seeing a lot more success now in this environment with people focused on the new model that we’re bringing, as Ben mentioned, a subscription, SaaS-based model that that has deep connectivity across the mortgage ecosystem that will allow them to save money and ultimately pass those lower costs on to consumers. And so, it's actually a pretty good environment for us to try to advance a different model across the industry. 
Michael Cyprys : Great. Thank you. 
Operator: Thank you. Our next question comes from Craig Siegenthaler from Bank of America. Craig, please go ahead. 
Craig Siegenthaler: Good morning, Jeff. Warren. Hope everyone’s is doing well. My question is on disposition potential. ICE has always been pretty opportunistic in terms of buying businesses to make strategic sense and sometimes selling ones too. But are you looking any businesses today that may not make strategic sense or its upscale or maybe would be even more valuable to another party.  And I'm partly thinking about your fixed income execution business, which you maybe with upscale, but it's within a great fixed income franchise. It's benefiting from both bond ETF adoption and the migration to e-trading. 
Jeff Sprecher: That's a really good question actually. I don't want to focus on specifically our fixed income business, but let me speak broadly. And the answer is, yes. I feel like as a management team, we promise that we're going to deliver growth. And sometimes we can do that by building new technologies as we just talked about in mortgage.  Sometimes we do it by acquisition and sometimes, it's better to do dispositions and reallocate the capital. And, and I think, through the history of this management team, we've not been afraid to spin businesses out. We've obviously acquired a lot of businesses and we're good at integrating businesses. It's actually pretty strong domain capability of this company. But we also are good at organizing businesses and spinning them out.  Ben oversaw along with some Black Knight people, the ability to put together their loan origination platform and take it to market. So, we're not afraid to move businesses around if there's value there. The other thing I would say to you is that, if the market doesn't appreciate of the overall footprint of ICE, it's you as an investor and an investor advocate, think that some of the parts would be better organized differently. Then as a management team, we should be open to that. We like actually running smaller, flatter businesses that have entrepreneurial bents to them. And so the complexity of being a large organization actually can sometimes frustrate that.  And so maybe unlike many management teams, we like being small and nimble. So, a longwinded answer of saying, yeah, we look at everything. And we do meet routinely all the people on this call. We meet routinely to go through all of our business units. And what our competitors are doing, what the landscape is and think about whether there are opportunities to organize differently. 
Craig Siegenthaler: Thank you, Jeff. 
Operator: Thank you. [Operator Instructions] Our next question comes from Alex Kramm from UPS. Alex, please go ahead. 
Alex Kramm: Yeah, hey back so soon. Just a quick one on the Fixed Income and Data business. On the Fixed Income Data, recurring revenues in particular, I know there's a couple moving pieces here for the flat growth year-over-year. But now, if you think somatic and you step back right? Fixed income markets are in a position of strength for the first time in – I don’t know, 15 years or so. And people are getting excited about all these changes and flows into CDs and whatever is happening out there that we haven't seen in so long. Systematically, I don't understand, like, why this is not helping the business more. Or do you think there's still some things going to the come, because it just seem like there's been a period of uninvestment and as Fixed Income managers now have you no more strength, I would assume that they're looking to to modernize some of their solutions? 
Warren Gardiner: Hey, Alex. This is Warren. I think you make some really good points and I would echo those. I think right now, though, in terms of our business and the customers that were facing, they are still licking their wounds little bit from what was a pretty tough 2022. But as you're alluding to, there are some green shoots if you will I mean, we've had some good Fixed Income flows for the first couple months of the year.  I don't want to predict anything. But it kind of feels like at least relatively speaking, you've got some stabilization in interest rates. And then - and as you said earlier, I mean, this all of a sudden becomes a pretty attractive asset class, broadly speaking. And so, look, I think, there are customers right now, and we've seen this, when I talk about sales cycle, things like net new fund growth and things like that.  Though that's part of the slower sales cycle, that's a component of our growth. But as you know, we just said and you said it too, like it seems like things are getting or stabilizing a little bit, and you've got a potentially very attractive asset class. So we're encouraged by that. And I think as we look to the second half, we do have some easier compares to that were facing.  And I think all – if you pull that all together, it's all pretty encouraging. But also I think, don't lose sight of what's going on in the rest of the Data business. So we talked about it too. I mean, other Data and Network Services, we had some really strong growth in our desktop business, up double-digits. Our strong growth in our Analytics business.  Within that, in part driven by some of the commodity customers. It's also helping our Exchange Data business. And so, we've had some pretty good results and that's the benefit of having some diversity across different types of solutions in different asset classes and helping to drive what overall for the segment was another good quarter of double-digit growth and margin expansion.  And again sort of a testament to the not only the old weather nature of that particular segment, but really the business overall. 
Alex Kramm: Okay. Fair enough. And then, since we are in over time I'm going to squeeze one quick one in there, for Ben. Ben you mentioned the Data and Analytics in mortgage as a sign of area of strength, but sequentially that business was actually down a decent chunk. So, I don't know if there is seasonality, but just making sure that people are not also, trading down there or getting rid of some services that they've been have purchased in the past. 
Benjamin Jackson: Thanks Alex. So, while you did allude - you alluded to the slowdown in the business, you got to look at it as well though. It is up 10% against a market that’s sequentially down 20 and year-over-year down 60. So the backdrop is still tough.  Historically, when you go back to when we bought the Ellie Mae business, this business was heavily transaction-oriented. So that's why if you look over time each quarter the results in this business has been a little bit volatile, because we've been just like on the origination side, we have made a concerted move to moving more and more customers towards subscription.  In the fourth quarter, and then again in the first quarter, we moved some pretty substantial customers that were on heavily transaction-oriented deals more towards subscription and gave up some transaction revenue to do so. So that's some of the noise that you saw in there. But some of the tailwinds we have in this business, as well as within the spring of last year, we mentioned we won a major global bank in JPMorgan Chase coming onto our AIQ platform.  And we have now implemented them. They are live and we're going to start seeing revenue contribution from that. So there's a nice tailwind there. We also - based on the interesting data sets that we have and the unique datasets that we have on our loan origination system, we've recently been engaged by the CFPB. And they've engaged us to help improve their average prime lending rate.  So the lending rates that they put out to consumers, that's the average to give them a benchmark of am I getting a fair deal? When we're underwriting a loan, they've engaged us to help provide them our data to help improve that index. So we think that's just one of many examples of data offerings that we will have in the future.  And the other thing I’d point to is that, were feeding a lot of our data sets into other parts of our business. Like our ICE Data Services business to improve our mortgage-backed securities pricing. And then, we also launched those rate lock Futures last year that we believe is a very interesting risk management tool to help with some of the basis risk that you have in the mortgage space when producing a mortgage, whether it's a long-term mortgage lock that you have or you have jumbo loans in your portfolio.  You have pretty significant basis risk versus treasuries and the TDA market when doing that. And in April, we saw 11,000 contracts executed on those rate lock Future. So, there's a lot of green shoots there within data. And I think you'll see that feed multiple different line items in the future as those develop. 
Alex Kramm: Right. Great. Thanks for the follow-ups. 
Operator: Thank you. That is now the end of the Q&A session. We will now hand back over to Jeff Sprecher, Chair and CEO for closing remarks. 
Jeff Sprecher : Well, let me thank you, Lauren for being today's operator and thank you all for joining us this morning. I want to also send out a special thank you to Rich Repetto of Piper Sandler, as many of you know he dialed in very early this morning in order to open today's questioning, as he's done every quarter since our initial public offering in 2005. And we understand that Rich plans to move on to new opportunities this summer.  So I represent everyone in the room when I say that, we will miss hearing his thoughtful questions going forward. And Rich, I just want to say, thank you for your commitment to following our company and our progress. And in your absence, please know that we're going to continue to strive to innovate for our customers and build an all-weather business model that will continue to grow.  With that, have a great day, everyone. Thank you. 
Operator: This concludes today's call. Thank you for joining. You may now disconnect your line.